Operator: Good evening. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the Sky Harbour 2025 Third Quarter Earnings Call and Webinar. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session. If you would like to ask a question during this time, simply submit a question online using the webcast URL posted on our website. Thank you. Francisco Gonzalez, you may begin your conference.
Francisco Gonzalez: Thank you, Tiffany, and a warm welcome to the 2025 Third Quarter Investor Conference Call and Webcast for Sky Harbour Group Corporation. We have also invited our bondholder investors and our borrowing subsidiary Sky Harbour Capital to join and participate on this call. Before we begin, I've been asked by counsel to note that on today's call, the company will address certain factors that may impact this and next year's earnings. Some of the information that will be discussed today contains forward-looking statements. These statements are based on management assumptions, which may or may not come true. You should refer to the language on slides one and two of this presentation as well as our SEC filings for a description of the factors that may cause actual results to differ from our forward-looking statements. All forward-looking statements are made as of today, and we assume no obligation to update any such statements. So now let's get started. The team with us this afternoon, known from our prior webcast, includes our CEO and chair of the board, Tal Keinan, our treasurer, Tim Herr, chief accounting officer, Michael Schmitt, our accounting manager, Tori Petro, and Andreas Frank, our assistant treasurer. We have a few slides we'll want to review with you before we open it to questions. These were filed with the SEC an hour ago in Form 8-K along with our 10-Q. They will also be available on our website later this evening. We also filed our third quarter Sky Harbour Capital obligated group financials with MSRB EMMA an hour ago. As the operator stated, you may submit written questions during the webcast using the Q4 platform, and we will address them shortly after our prepared remarks. Let's get started. In the third quarter, on a consolidated basis, assets under construction and completed construction continued to increase, reaching over $300 million on the back of construction activity at the recently completed campuses at Phoenix, Dallas, and Denver. Please note this graph is soon to accelerate its upward trajectory as we break ground in Bradley International, Salt Lake City, Addison Phase 2, and other campuses. Consolidated revenues experienced an increase of 78% year over year and 11% sequentially, reaching $7.3 million for the quarter, reflecting the acquisition of Camarillo Campus last December and higher revenues from existing and new campuses. Operating expenses in Q3 actually dropped slightly as some of the one-time non-recurring startup expenses and new campuses that we experienced in Q2 did not carry into the last quarter. SG&A had a one-time non-cash expense in the quarter related to the recognition of vesting of our former CLO's equity award compensation. We are working hard to keep SG&A stable. As indicated in prior public discussions, we look for these line items not to exceed $20 million on a cash basis when it reaches its peak. This line item has many non-cash elements which Michael, our chief accounting officer, will review shortly. Most importantly, on the lower right-hand quadrant, we are only less than $1 million away from breakeven on a cash flow for operation basis and expect to reach that goal next month on a run rate basis as discussed in prior calls and part of our formal guidance. Next slide, please. This is a summary of the financial results of our wholly-owned subsidiary Sky Harbour Capital, its operating subsidiaries that form the Obligated Group. This basically incorporates the results of our Houston, Miami, and Nashville campuses along with the newly opened campuses in Phoenix, Dallas, and Denver. Revenues in Q3 increased 25% year over year and 8% sequentially. We expect a continued increase in Q4 and the first quarter of next year as these campuses, the new campuses, continue to be leased and Phase 2 at Opa-locka, Miami, is expected to open around early April of next year. Operating expenses decreased moderately as discussed before, while the operating leverage is shown in the strong cash flow generation coming from operating activities. You can see in the lower right-hand quadrant. Let's turn now to our Chief Accounting Officer, Michael Schmitt, for a breakdown of adjusted EBITDA.
Michael Schmitt: Thank you, Francisco. Adjusted EBITDA is a measurement tool utilized by us to evaluate our operating and financial performance. You should note that it is supplemental in nature, and it is not calculated in accordance with U.S. GAAP. We have provided a reconciliation from our GAAP net loss results to the three months ended 09/30/2025. Amongst the most significant items that are components of our reconciliation to adjusted EBITDA are the non-cash portion of our ground lease expense, as we discussed in prior quarters. Most of, virtually all of, our new ground leases signed do not actually require us to make cash payments until we receive two certificates of occupancy. Nonetheless, under U.S. GAAP, we are required to recognize straight-line expense. We show in this chart the effect of adding back that non-cash expense to adjusted EBITDA. Another significant component this particular quarter was share-based compensation, which totaled approximately $2 million inclusive of certain non-recurring charges previously addressed by Francisco. With that, I will pass it over to Tal.
Tal Keinan: Alright. Thanks, Mike. Just a quick look at site acquisition. I think this is pretty self-explanatory. It's the same chart that we put up every week. We have 19 airports on the chart today. That's airports that are either in operation or development. We gave guidance that we will have 23 by the end of this year, and we plan on hitting that guidance. Excellent. Okay. Our latest airport is Long Beach, California. As we've discussed on previous calls, Los Angeles is a critical market for us, both with a very robust installed base of business aviation and also high growth. Long Beach itself is a real emerging technology hub, particularly in the aerospace and defense sectors. We've identified our first residents already there. A very significant airport for us, and I don't think it exhausts or it comes anywhere near exhausting our opportunity in the Los Angeles market. Next slide, please. This is a bit of an eye chart, but based on questions from the previous earnings calls, we thought we would provide this level of detail here, and I hope it's helpful to everybody. I'm just gonna go through line by line so people understand exactly what we're looking at. Actually, before we say that, all of the green airports are stabilized campuses. The blue ones are in initial lease-up, the campuses that were recently completed construction or about to complete construction. And then the yellow is our initial pre-leasing pilot that we discussed on the last earnings call. So going line by line, revenue run rate is exactly what it looks like. That is the annual total revenue run rate from each campus as of now. Rentable square feet is the amount of square footage of hangar and hangar support space that we have built or are going to build in the yellow case on each of these campuses. People have asked in the past about what is their actual rentable square footage, how do we get to above 100% occupancy in these spaces? We'll get to that in a minute, but it's just important that everyone understands in, you know, BNA, that's Nashville International Airport, we have 149,000 built square feet that can be rented. The next line is private square footage. The private square footage is the square footage of hangar that is leased on an exclusive or private basis. You'll see that there are certain airports where that is the dominant form of lease. So Sugar Land, for example, the first one, 100% of the hangars are fully private. There are no semi-private spaces at Sugar Land. And I don't know. Let's take San Jose, where the vast majority of our space is actually leased on a semi-private basis. I think a good way to look at that semi-private line, the next, the fourth line, is the square footage of hangar at that airport that is not privately leased. Okay? That is available for common use or what we call semi-private. That's the square footage of hangar available for semi-private use on that airport. The fifth line is the actual square footage of aircraft in semi-private spaces. And remember, we don't care so much about the square footage of aircraft in private spaces because you're paying for every square foot in that space, regardless of the square footage of airplane in that section of that space. Semi-private space is leased on the basis of aircraft square footage. So what we're seeing here is the actual aircraft square footage that is sitting in semi-private space. To answer one of the questions from, I think, the previous quarterly earnings call, if you look at, for example, SJC, that's San Jose Norman Mineta, you'll see that we have about 50,000 square feet of airplane sitting in about 41,500 square feet of hangar. Okay? That's an example of getting to more than 100% occupancy. As people who are following us know, we've transitioned from the old Sky Harbour 16, which was the prototype hangar and had 12,000 square feet of rentable hangar space, to the new prototype, which is going up in all of the current campuses, the Sky Harbour 37, which has 37,000 square feet of rentable hangar space. The dividend you get from that is especially pronounced on a semi-private basis. Right? You can get, without getting too crowded, you can get close to 70,000 square feet of airplane into that 37,000 square feet of hangar. And I think if people could look on the website to understand exactly how that works, but we want to give you some empirical data points on what that's looking like. The next line, line number six, is revenue per square foot. And the way that works is very simple. We just take the total revenue, the top line, divide it by the rentable square footage, the second line, that gives you your effective revenue per square foot. Then the last line, which I think is an important nuance, I think it's very important to understand, particularly in light of our current leasing strategy, shows you what the high and lows are on contracted revenue per square foot. Okay? Or contracted revenue per leased square foot. And the reason that's important is, you know, if you look a little bit closer, you'll see that there is a correlation between the recency of a signed lease. The later the lease was signed, the higher the revenue per rentable square foot. And also a correlation between the duration of the lease and the revenue per rentable square foot. Longer duration leases have higher revenues per square foot. Different from what you're gonna find in most real estate, and that has to do with, I think, our tenant community's appreciation of the expected inflation on airports. So we charge a higher rentable square foot on longer-term leases. That feeds into our current leasing strategy before we move to pre-leasing, what you can see on the blue columns, the airports that are in initial lease-up right now, in that, what we're trying to do on those airports is actually get to as quickly as possible to 100% occupancy. And do that in general on the basis of short-term leases. Call it twelve-month leases, with the idea of establishing kind of more permanent occupancy at our target rents. So at the beginning, it's about speed getting to 100%, that puts us in a very different position with regard to leverage in negotiating new leases. And then go back and correct to market. Now that said, in each of those blue airports, we do have one or two residents who are on longer-term leases that are paying full rent. What you can see on the green side is you have the relatively high disparities between the highest and the lowest leases. Again, the highest tend to be the ones that are assigned latest and or the leases that have the longest tenor. Just a couple things to point out before we move on. Is just to preempt any questions. Sugar Land, that campus was gradually taken over by its anchor tenant. Started with seven hangars. The anchor tenant had two of those seven. Every time one of the hangars came due, that anchor tenant took over that lease. Which brings us to the state of affairs today where there is only one resident in the entire campus, so they're paying the same rent across the board. The last thing I'll point out to people is the higher the ratio of semi-private to private space, the bigger the disparity you'll see in the, yeah, between the highest and the lowest revenue per square foot. And, again, that is a nod to our evolving strategy of increasing our emphasis on semi-private space versus private space. In general, you know, under most conditions, that's actually a better business for us. And then the last thing I'll say is the yellow bar is just our initial pre-leasing. That pilot has moved on to a, it's been successful, and we've turned that into a permanent leasing program going forward. And with that, let me turn it over to Tim.
Tim Herr: Thanks, Tal. At the Obligated Group, we completed a modification of our construction program by removing the second phase of Centennial Airport and adding in the second phase at Addison Airport. Addison has an earlier expected completion date, at a lower expected construction cost. And with its higher expected revenues, the modification will be positively accretive to our bondholders as we approach the final completion of all of the projects in the Obligated Group. Next slide. We also finalized a $200 million tax-exempt drawdown facility announced with JPMorgan in September. This five-year facility will provide debt funding for our next projects in the development pipeline. We expect to draw on the facility over the next two years as you can see on the chart on the left, followed by an eventual takeout with longer-term tax-exempt bonds once the projects are completed. We recently announced that we have locked in our cost of financing at 4.73%, the four seventy-three, through a floating first fixed swap. Now let me turn it over to Francisco for the discussions on future capital formation.
Francisco Gonzalez: Thank you, Tim. We closed the quarter with $48 million in cash and US Treasuries, which are now enhanced with a $200 million committed JPMorgan facility that Tim discussed. We have been served well historically to continue to be a fortress of liquidity and be funded eighteen to twenty-four months ahead of our needs. Given the accelerating growth ahead of us, we continue to explore various private and public alternatives in terms of the right type and cost of growth capital. Until we decide to start paying a dividend, we will reinvest our positive operating cash flow next year into additional hangar campuses. We have also not used our ATM program to issue any equity given that we consider the share price too low. Instead, we are exploring the possibility of issuing yet additional private activity bonds outside the Obligated Group, outside the JPMorgan facility. Specifically, the five-year probability curve looks attractive for an interim issuance while we construct our next portfolio of six to seven campuses. That will provide us with adequate time to come to a long-term fund issuance once our Obligated Group program achieves investment grade. We also announced today that we entered into a binding LOI with an ultra-high-net-worth family office. It is expected to acquire a 75% participation in a new Sky Harbour 34 hangar at Phase 2 in Opa-locka for $30,750,000 in cash. The transaction is expected to close on or about April 1, subject to certain conditions. If completed, we expect to use the proceeds first to fund any remaining capital needs to construct Phase 2 at Addison and then repay certain past payments previously advanced by our holding company to the Obligated Group. The balance will pass to the Obligated Group's waterfall, be subject to the restrictive payments test of the surplus account. This type of asset monetization is a prudent way to generate capital to fund our future growth, if and only if valuations support it and if the alternatives are less attractive to us from a dilution and cost of capital perspective. We continue to explore a few more potential hangar sales from people who simply do not like to rent and prefer to own their own hangar. With this, let me turn it back to Tal for Q3 highlights and for the coming initiatives in the four pillars of our business.
Tal Keinan: Alright. Thanks, Francisco. We're breaking it down the same way we always do. Site acquisition, 19 airport ground leases. We're on track to deliver 23 airports by the end of the year. We have begun pursuing same-field expansion opportunities, and I'm going to expand on that on the next slide. And as we've mentioned before, much of the focus has shifted to really targeting tier-one airports rather than just a lot of airports. Development: So our manufacturing subsidiary Stratus is now pumping out steel in full gear, meeting all of our development needs. The construction program under our construction subsidiary, Ascend, is also in full gear. We're on an accelerated track to meet our 2026 construction schedule, which as people have probably noticed, is a real step function in construction volume. Specifically, Miami Opa-locka Phase 2 is on schedule. We have broken ground in Connecticut, Bradley, Connecticut. We've nearly completed site demolition at Dallas Addison Phase 2. It's gonna be probably the tightest schedule spread between Phase 1 and Phase 2 on an airport, and Dallas is a very good market for us. We've begun site work in Salt Lake City. And we have ten airports in development now. Again, hopefully, that expands by four by the end of the year. We've also instituted a comprehensive assurance program. It's kind of a nose-to-tail program starting at the design phase through manufacturing, through construction. You know, as people on the call have heard, this is an industry that's fraught with construction snafus. And one of the benefits of specialization and pumping out exactly the same prototype hangar across the country is it introduces quality assurance tools that are not really available elsewhere in the industry. Leasing: Stabilized campuses continue to grow revenues at a really robust pace, post-stabilization, right? And again, this, I think, we'd like to take credit to a certain extent in the quality of the offering and the fact that Sky Harbour has really kind of become an established brand in the business aviation community. If people have a choice, they will come to Sky Harbour in general. Part of it is just inflation. Right, we're aware of that. Again, that's the central part of our thesis. I call the inflation kind of our macro tailwinds, and the quality of the offering is the thrust on the aircraft. That's how we look at that. And we see no reason for that growth to abate. The airports that are in round one lease-up, that's Deer Valley in Phoenix, Addison, Dallas, and Centennial in November. Like I said before, the objective is to first get to 100% occupancy with compromises on revenue per square foot as long as our lease terms are short. And then in term two, really establish our market rents on these fields, and we're again, already seeing that. Even on those four airports, we're already seeing that the longer-term leases are above our target rents. So we expect that to work nicely. And then, like we said, going forward, pre-leasing will be the strategy. So starting with Bradley, Connecticut, all airports will be subject to that pre-leasing strategy. On the operations side, we've got nine fields in operation today. We've got two phase twos in preparation. Right? That's Miami and Dallas. One of the things I think, you know, the more astute observers will notice is there's actually a very modest change in OpEx when you open a second phase on a campus. So while your revenues might double on that campus, your OpEx change is actually quite small. And we will, you know, hopefully be realizing those efficiencies on a lot of airports going forward. So please stay tuned for that. Industry recognition, we can, you know, it's one of these things that is a little bit difficult to judge objectively. But I think it's a pretty emphatic across-the-board recognition, not just in our own resident community, but in people who are coming in to reserve spots in places like Dulles International or Bradley or Miami Phase 2. We're very satisfied with the ops training program, which we continue to improve. Which has a lot of features that you don't see elsewhere in the industry. Actually, I think we have two pictures on this slide, so I'll call everybody's attention to that. Would you stay on the right side of the slide? Is a training rig that we actually manufacture ourselves. Which allows our line crew to do both initial and recurrent training in operating and towing operating tow equipment and moving aircraft, not on an actual aircraft. Okay? So which means there's no risk of damage to a tenant's property. We do virtually all of our training now on this rig. One of the side benefits of that is you could train much more often. Again, if you're towing a $50 million airplane, you can be very, very judicious about the amount of time you spend on it. We don't do that anymore. Maybe others in the industry do, but that's one example of what we think is kind of an innovative new approach to providing just top, top-level service. We've also instituted what we call the Sky Standard Property Management Program. It's not just about the service. It's also about the upkeep of these facilities, which have to be six stars, and I think our residents have come to expect that. And we've invested quite heavily in managing that centrally and getting really the best property management program in aviation across the country. Next slide. Looking ahead, on-site acquisition, again, we've said it. We believe we're on course to meet our guidance for 2025. That's 23 airports by the end of the year. 2026, the focus will be on, number one, max revenue capture, that is the tier one, the best airports in the country is our primary focus. And then secondarily is same-field expansion. And what we're finding is in the airports that we're already operating, we know the players both on the airport sponsor side and in the resident community. Have real intimate knowledge of how that market works and how it's evolving, there are just great benefits in expanding. I would say if you could double the ground lease at an existing airport, it's probably worth a lot more than establishing a new ground lease on a brand new airport. All of the things held equal. On top of that, as I alluded to with the phasing discussion, there are real operational efficiencies. Right? If you double the size of your campus, you do not need to double the size of your team or double your equipment list on that campus. Moving on to development. We feel ready for all the reasons I enumerated on the last slide. We are ready for the surge in 2026. It's almost an order of magnitude change in the scope and volume of our manufacturing and construction. And there's gonna be another one in 2027. Another phase shift or step up in development volume in 2027, and we're getting ready for that. Leasing, we have grown the leasing team threefold as the volume of leasable space has gone up. That team, all of the growth in that team has been veterans. You know, as some of the people who track us closely know, we've had really great success in recruiting military veterans to our team, a lot of benefits to a team that's so heavily weighted toward veterans. That's been a big advantage. Order of operations, let's start with the short term. We're bringing those blue campuses from one of the previous slides to 100% occupancy. That is mission number one. Mission number two is bringing those campuses to market rent. Meaning cycle those short-term leases to longer-term leases at higher rents. When we call those campuses fully stabilized. And then circle back to our legacy campuses to focus on revenue enhancement. You know, again, we've had perhaps too small a leasing team. You know, it took us a little longer than I would have liked to get to the size of the leasing team that we have today. Now that we have it, though, it's going back, you know, really culling those waiting lists in Miami and in Nashville and, you know, the various other locations. And looking for the best residents to bring in. It's not just a matter of maximizing revenue. It's a matter of bringing the best residents in the industry into Sky Harbour. And then longer term, as we've discussed, we're migrating starting with Bradley, Connecticut, to a pre-leasing model where we go out and lease these campuses up well in advance. Remember, we have ground leases, we have, sorry, tenant leases already in Bradley, which is twelve months out and Dulles, which is eighteen months out for delivery. If, you know, just take a moment to also just note with gratitude that people are affording us the credibility to put down cash deposits and enter binding leases on products that we're only gonna be delivering a year and a half from now. That really is, at least for me, a milestone event in the evolution of this company. Lastly, operations. We have a very active resident feedback loop. A lot of our residents, principals speak to me directly, which we value a ton, both for better and for worse when we do something good and when we do something bad. Which allows us to really institute a rapid feedback loop which I think people increasingly appreciate. We certainly do because it's making us better all the time. On the defense side, I made the same points last time, and I think they're critical and they stand every time. We aim to be absolutely bulletproof on safety, security, and efficiency. That's not where we get creative. That's where we're perfect. And then offense, where we get creative, is continuing innovating, introducing new services or new variations on services, customized services that really delight the residents, and they're often created in partnership with the residents, to continue really growing that value gap between the Sky Harbour offering and really anything else that you can access in business aviation. And with that, I think we are done.
Francisco Gonzalez: Thank you, Tal. This concludes our prepared remarks. We now look forward to your questions. Operator, please go ahead with the queue.
Operator: At this time, I would like to remind everyone, in order to ask a question, please submit it online using the webcast URL. We'll pause for a moment to compile the Q&A roster. Your first question comes from Tom Catherwood with BTIG. The question is, with the pre-leasing program now becoming the standard approach for all new developments, how will Sky Harbour manage the potential risk of locking in lease economics before the full scope of construction costs is determined?
Tal Keinan: Alright. Thanks, Tom. Good question. I'd say two things. Number one, as we systematize and diversify, we think the risk of significant overruns in any of these projects continues to come down. You know, we certainly in early days when we were a little bit more experimental and bringing a different hangar design to each new campus, I think the risk was significantly higher. We've, I think, lowered that considerably. Remember that we're locking in guaranteed maximum price contracts on these projects, which further mitigates the risk. Secondly, the objective is not to get to full occupancy through pre-leasing. You know? So we've yet to determine what the optimum is. You know, it's gonna be north of 50%. But does that mean 60, 70? It's not 100%. But we do want to leave a little bit in reserve for later. Fundamentally, the real risk here, assuming construction is going to cost what it costs, the real risk here is underestimating a market's potential. You know, if we think this is a, you know, a $50 a foot market and it ends up being a $60 a foot market, that is the basic risk we're taking. So I think between those two factors, that risk is significantly mitigated. It's certainly something that's on our mind, I appreciate the question.
Operator: Your next question comes from Timothy D'Agostino with B. Riley Securities. The question is, are any properties in operation over 100% occupancy? Can you talk to which ones those would be?
Tal Keinan: Yeah. Thanks, Tim. You might have posted this question before we hit the slides. So just in case, you skip back to the leasing slide, you'll see examples, like San Jose, are, you know, significantly above 100% occupancy. What you'll find is the more heavily weighted we are to semi-private hangars versus private hangars, the higher the occupancy is going to be. And remember, all of the new campuses are Sky Harbour 37 Hangars, which just geometrically fit more aircraft. I mean, the ratio of aircraft square footage to hangar square footage can be a lot higher in a Sky Harbour 37 than it can be in a 16. So I think you'll see, well, hopefully, an increase in occupancy as we go forward with these new airports.
Operator: Your next question is from Ryan Myers with Lake Street Capital Markets. And is as follows. Congrats on another solid quarter showing progress. First question for me, is there anything from this quarter, qualitative or quantitative, that highlights early signs of scale in the business?
Tal Keinan: Yeah. So what I can say on that is, you know, there doesn't have to be too much guesswork, Ryan, on that. Is that, you know, there's a funnel in this business, and it really goes along the lines that, you know, I've been enumerating in all of these calls, which is look inside acquisition, look at development phase, and then look at operations as revenues start flowing. Which will give you, you know, a very solid sense of what that is. If you kind of look at 2025, for most of 2025, we were under construction in three campuses, right, Denver, Dallas, and Phoenix. In 2026, that goes to 10. Okay? So the very significant scale. Now the revenues from that will start accruing a real step function, right? This is not incremental growth. Starting in late 2026, and entering 2027. If you look at the pipeline, watch the pipeline closely. If we hit the 23 airports by the end of this year, and we'll obviously publish new guidance for asset acquisition in 2026. You see how the top of the funnel widens, and I think you can trace directly from that to revenues. So I think that's probably the best way to look at that question.
Operator: Your next question is from Gaurav Mehta with Alliance Global Partners. They ask, what are the details on the potential five-year $75 to $100 million tax-exempt bond? What's the potential timing, and what is the expected rate?
Francisco Gonzalez: Thank you, Gaurav. This is Francisco. Thanks also for your coverage of our company. Yes. So we're looking at a financing that could come to market certainly as next month. And, as late as January or February. And, you know, it will be a, think about yourself, holding company issuance, meaning that it would be structurally subordinate to the existing bondholders in the Obligated Group and the JPMorgan facility. So it will basically come in lieu of issuing equity. In lieu of, so in terms of expected rates, you know, it's going to be subject to market conditions. But, these are transactions that we hope that will be in the 6% area. And if rates don't come at, you know, at the level that we're looking for, then we'll just not do the deal. One of the things, as I mentioned earlier, to have the flexibility that our liquidity provides is that, you know, we tap the markets that make sense. And if we don't like the pricing, we just, you know, don't do the deal. And look at all the alternatives or wait and things like that. So that's kind of like the short answer to your question. Thank you for the question. Next.
Operator: Next is from Peyton Skill. The JV deal implies that the hangar is valued at $41 million. At that valuation, are you looking to do more of these deals? How are you evaluating this strategy versus the core operation of leasing hangars over the life of the ground lease?
Tal Keinan: Alright. Peyton, thanks for the question. Let me answer it, and let me ask Francisco to answer it because I think you're coming in from two directions. I think what you're implying here without getting into valuations specifically is that the net present value of a fifty-year stream of lease revenue is probably significantly higher than what you calculated here, and we agree with that. I think that's true. However, I don't know that that should be the only bogey for doing these deals. I think there's a capital formation angle that you need to take into account as well. So Francisco, can you talk to that for a minute?
Francisco Gonzalez: Yeah. Sure. Thank you, Tal. Thank you, Peyton, for the question. Indeed, you know, we look, as I mentioned earlier, at all the alternatives in terms of equity, debt, different structures, and so on. We're looking always at what makes sense for the company from a risk-reward perspective, and a cost of capital perspective. So at this juncture, when the equity markets, you know, seem not to fully capture, you know, basically what we believe is the value of this company. Looking at the monetization of very deliberate one or two hangars here and there makes a lot of sense. In lieu of having to issue equity at the current prices. So of course, our core business, as Tal mentioned, is the leasing of hangars over time. If present value of our expected leasing rates and cash flows we believe, are higher even than the implied valuation that you mentioned of $41 million. But still, the analysis doesn't end there, the analysis has to be compared to our alternatives, and right now, we're looking to take advantage of this opportunity. I will say also the following. There are certain potential tenants out there that just intrinsically don't like to rent. So by looking at opportunities where they can actually have opportunities to acquire a hangar rather than rent it, you know, it basically also expands our universe a little bit on that front. Anyway, but very good question, and that's kind of like the balanced approach. And why we're taking advantage of the superclass.
Tal Keinan: By the way, Peyton, I'll add to that. I don't know that it's exactly a strategy. I mean, you asked how are you evaluating this strategy versus the core operation? I don't know if it's exactly a strategy. You know, we might do one. We might do two, maybe three of these. I don't see this becoming part of the remember, we don't need that much more equity to fund our development. This is primarily a cost of capital question. So, right, I mean, once you're covered in terms of your equity, it really becomes a matter of maximizing net present value. Next.
Operator: Your next question is a follow-up from Tom Catherwood. By our math, the letter of intent for a 75% JV ownership stake in a 34 hangar at OPF LL implies a gross valuation of more than $1,000 per square foot. With an expected cost of roughly $353 per square foot, this deal represents a development margin of more than 180%. Is this indicative of value across your portfolio? Or is the deal unique given the specific needs of your JV partner?
Tal Keinan: Yes. Tom, thanks for that. But I really enjoyed your research coverage. I think you've got us dialed in, I think, quite well. Look. I similar question to the previous one. What I'd say is I wouldn't say it's indicative of the value across the portfolio necessarily. But it's also not unique to the specific needs of that JV partner. Anybody who has an appreciation who's living in that market I think comes to the same conclusion that we come to. Which is the airport system is Manhattan. It's Manhattan. You cannot build more airports in this country. There is no room for it. So we are stuck with a static supply of developable land for what a very, very growing demand, a very, very sharply growing demand for aviation hangar space. So yeah, what I'd recommend all the analysts do is look at your model's sensitivity to inflation assumptions. And, you know, again, I'm not saying we're gonna necessarily hit the same inflation rate as Manhattan residential real estate over the past decades, but I wouldn't be surprised if we do. Anybody who shares that view, I think, understands that there is tremendous value here. Again, we think it's we tend to think it's worth more than what we're selling it for today. I think we're creating win-wins with some of these people because, again, for a it's primarily a cost of capital question for us. So I think it's a good compromise for us to be making.
Francisco Gonzalez: Yeah. Just want to add on your math, just be aware that given the square footage of the Sky Harbour 34, the implied valuation is roughly about $1,200 per constructed, you know, rentable square foot of that hangar. And we hope to come at a cost lower than $353. So, basically, you're looking at even north of two times maybe even three times our cost in terms of the implied valuation. Next question.
Tal Keinan: Right. The cost of the hangar, not the cost of getting to a place where you could actually put these hangars up.
Operator: Your next question is from Joe Jackson. Regarding the Miami JV, how was the $30,750,000 valuation for a 75% stake determined? Is this a repeatable financing model you plan to use at other campuses?
Tal Keinan: Yeah. So, again, it's a similar question. If we definitely think it's repeatable. We don't know that we're gonna wanna repeat it too much, but it's certainly repeatable. There's definitely demand for this across the country. Next question.
Operator: Your next question is from Philip Bristow. Congratulations on the quarter. What are your thoughts about more hangars similar to the 75% in Miami in an SPV? Also, are these more likely to happen if the equity price for Sky Harbour is below that is attractive to raise equity capital, or is that not a major factor? Thanks.
Tal Keinan: Okay. So definitely a lot of we get a lot of focus on this particular transaction. Philip, you're bringing a new angle to it, and I think you if I understand your question right, you get this. Right? This is not something this is not the new business model for Sky Harbour. It's about cost of capital. And it's about getting to a place where the company is not reliant on primary equity issuance to fund its growth even if that growth is as fast as we hope it's gonna be. We want to be independent of the primary issuance market. For as a benefit, obviously, to all current shareholders of the company. There is some breakeven. We're probably gonna be debating that late at night, over the coming year or so. Is what is the share price at which it does make sense to raise private equity in the company considering the options that we have. Remember, there's, I don't know how many, 70 some hangars in the network today. It's not taking a significant bite out of your total addressable market. If you do, you know, two or three deals like this. So that is something I think is probably not unlikely to happen over the next, you know, over the coming months. But you're absolutely right that the equity price is a factor that we have to consider.
Operator: Your next question is from Ryan Myers. You think you could see similar JV partnerships across other campuses? Like the one you announced at Miami Phase 2?
Tal Keinan: I think again, I think all these questions were probably asked before. That's I think we've addressed that. Why don't we go to the next question?
Operator: Next is Gaurav Mehta. Is there an opportunity to do pre-leasing at more airports?
Tal Keinan: Yep. Gaurav, thanks for the question. That is the strategy going forward. It's starting with Bradley, Connecticut, we want to do pre-leasing at all future airports.
Operator: Next is from Future Hendrix. It has been projected that some of the NY area locations can reach rents of $100 per square foot. Do you think this is possible? Where is BDL shaking out in your pre-leasing?
Tal Keinan: Yeah. The answer is it's definitely possible. You know, Bradley is not at $100 a square foot today. But let's see how that goes. Again, remember, these are pre-leases that are way out. So we think the willingness to pay when we're ready to open and there's, you know, very short supply will hopefully be significantly higher. Remember also that the closer you get to New York City, the higher the rents on those airports. And of the four New York airports, Bradley is actually the farthest from New York City. So that's actually a significant repositioning flight, you know, from Bradley to New York and back. But yeah, the big answer is yes. We do think that's possible.
Operator: Your next question is from Alan Jackson. Two questions. Can you please provide a status update on when Sky Harbour expects to receive investment-grade ratings? I believe the original target was the end of this year. Second question, in general, what percentage of the portfolio leases are expected to expire in 2026? Should we expect the same step up in rental revenue on this second turn of the lease as discussed in prior calls?
Francisco Gonzalez: Alan, very good question. I'll answer the first one. Tal will take the second one. In terms of the first one, you know, we as you heard us say before, we're very conscious that we want to take the program to investment-grade ratings, and we want to arrive at the ratings with our best foot forward to, you know, not just be a triple B minus, you know, hanging by the balance, but be a very strong triple B minus. If you let me, I'm gonna make the case to rating agencies that we should go right to triple B, but, you know, let me temper also my everyone's expectation. The idea here is that now that we're completing the leasing of these three new campuses, and then we open Opa-locka Phase 2, and then we finish Addison next summer, is really where we want to approach the rating agencies and save the triple B minus and hopefully triple B ratings. Tal?
Tal Keinan: Yeah. So Alan, I don't know what the actual percentage of portfolio leases that are expected to expire in 2026. What I'll say is it's more significant because, you know, if you look at the mature campuses, you know, Houston, Miami, Nashville, you'll see that the average tenure on those leases is very long. Yeah. I don't know exactly what it is, but I'm guessing more than five years. Because those are campuses that are in a relatively permanent state. Right? That we're kind of much closer to finish cycling out of the shorter-term leases where we've compromised both on the identity of the resident and on the revenue per square foot. The new campuses are in that first phase. Right? So Dallas, Denver, Phoenix, are all in that phase where our objective is to get to 100% occupancy first with compromises, at least on the shorter-term leases, and then go back and recycle. So we do think you're gonna get those step-ups. Perhaps even higher step-ups here because that was not the deliberate strategy in Miami, Houston, and Nashville.
Operator: Your next question is from Philip Bristow. What are your thoughts on new locations for 2026?
Tal Keinan: Well, Phil, thanks. That's probably one of the areas where we think we should be playing our cards as close as possible to our vest. Probably the most proprietary thing that we do is site acquisition. The company. Again, we're structured in a way that we really couldn't find any other company, couldn't find people to hire who have this skill set to do the, you know, the type of site acquisition we do across the country. And the targeting methodology is key to that. It's not always so obvious which airports we should be going after and which airports we actually are going after. So apologies, I'm not going to get any more specific on that. Other than to say the primary focus is on tier-one airports.
Operator: Next question is from Tess Tekol. Your projected DSCR is three basis points above your covenant level in 2026. How do you weigh the probability of a cure in the case of a delay or slow leasing?
Francisco Gonzalez: Yes. Thank you for the question. You know, it's important for those of you guys following the Obligated Group and the, you know, we, of course, have been slower or a little bit delayed in terms of delivery of these campuses than the time that we projected this portfolio four years ago now when we did the bond deal. But and construction cost, as you all know, has been higher, as you know, we all basically met that with additional equity into the portfolio. The most important thing, as Tal has mentioned before and we mentioned in prior calls, is that rents ended up being higher than what we forecasted and higher on a present value basis than the cost increases. Thus, debt service coverage when you look out into the future is actually higher than what we forecasted at the time of the bond issuance four years ago. And as we mentioned earlier in the press release, and as our team discussed, we just filed the quote-unquote, pivot in the Obligated Group bringing the second phase of Addison into the Obligated Group and pushing out the Centennial Phase 2. And as part of that, you're required to file an updated market and feasibility report, basically. On the entire portfolio of properties. I encourage everybody to, you know, look at the EMMA filing that we did today. And be able to look at this comprehensive report that has a lot of information regarding all our campuses. Obviously, it's their assumptions, their work, and so on, but it gives you a sense of what coverage is gonna be in the future. And so we're very comfortable that the debt service coverage covenant test will be met in terms of compliance. Next question.
Operator: Your next question is from Pat McCann with Noble Capital Markets. Can you elaborate on the statement that 2026 will be focused on MAX revenue capture?
Tal Keinan: Yeah. Thanks, Pat. If you think about it, you know, we have a defined threshold that we've published that we want to see double-digit yield on cost on the basis of current revenues. An airport and our projected construction costs at that airport. If you only use that criterion, you know, there's 100 airports in the country where you can do that. I'm not gonna name any airport specifically, but there are a lot of attractive airports in the country. Now that we have our methodology in the place that we want it, and we have existing processes at the top airports in the country, we want to shift our focus, at least for the time being, to the airports where you can get much more than just double-digit yield on cost on those airports. And as I've said here before, the denominator of yield on cost, which is primarily construction costs, right, because OpEx is pretty low in our business. That construction cost varies within a fairly tight range across the country. Right? It's not double in one place. It is in another. Whereas the numerator, the revenue is very significant. Like, we're in the real estate business. Right? It's primarily about location. So, you know, as we're in a place where, you know, I don't think we've still seen real competition come into our space, but we're anticipating it. I mean, you know, we're on these calls every quarter, people are seeing the numbers, what this business looks like. We're sure there are gonna be other players in our space. We would like to be, you know, in the best 30, 40 airports in the country before, you know, before we have robust competition. And then we'll compete for the remainder. Right? We'll still be doing, you know, the airports will still be out there. And so I think that's the appropriate shift to the way, by the time we get to those airports, the hope is that our construction cost through prototyping, manufacturing, value engineering, everything that we're doing to get construction costs down, will be significantly lower, which now increases the universe of airports you can achieve those double-digit yields on cost. So, you know, hopefully, we get there. Cost of capital, of course, will also be a factor in that. But for the time being, call it 2026, we think the focus should be on getting the best airports in the country first, then service back.
Operator: Your next question comes from Dave Storms. Do you see a greater percentage increase between first and second leases of square feet that is private and compared to square feet that is semi-private?
Tal Keinan: Well, in general, we're migrating to a more semi-private model, again, because of the occupancy rates. We do see that there are flight departments in the country who recognize, hey. Look. You can get to a 130% occupancy on this airport like we are in San Jose today. Privacy is important enough to me that I'm gonna pay you a 30% premium per square foot than what you're getting there, which is great for us. We're happy to have that as well. So increasingly, we are migrating to a more semi-private weighted model.
Francisco Gonzalez: Also, if I may, it has to do also with our prototype being so much bigger. That's right. And it allows, obviously, the ability to send it private. And as we have discussed in the past, semi-private has that punch in terms of being able to get occupancy theoretically in that 34 all the way to a 140% of economic occupancy. Next question.
Operator: Your next question is from Connor Kaim. Do you expect to begin pre-leasing OPF two in the coming quarters?
Tal Keinan: Yes. So we've already begun leasing Opa-locka two. I don't know that we exactly call it pre-leasing because we're already there, and a number of the new residents coming into Opa-locka Phase 2 are actually currently Phase 1 residents. And we're very happy because there's a big waiting list on Phase 1, so it's relatively straightforward to backfill those hangars also at higher rent. So that's already in progress. What we've called pre-leasing is really what we're doing on these fresh campuses like Bradley and Dulles.
Operator: There are no further questions at this time. Mister Gonzalez, I'd now like to turn the call back over to you.
Francisco Gonzalez: Thank you, operator. Thank you for all of you for joining us this afternoon and for your interest in Sky Harbour. Additional information may be found on our website at www.skyharbour.group and you can always reach out directly with any additional questions through the email investors@skyharbour.group. Thank you again for your participation. With this, we have concluded our webcast. Thank you, operator.
Operator: This concludes today's conference call. You may now disconnect.